Operator: Good morning, ladies and gentlemen. Welcome to the BCE Q3 2025 Results Conference Call. I would now like to turn the meeting over to Kris Somers. Please go ahead, Mr. Somers.
Krishna Somers: Thank you. Good morning, everyone, and thank you for joining our call. With me here today are Mirko Bibic, BCE's President and CEO; and our CFO, Curtis Millen. You can find all our Q3 disclosure documents on the Investor Relations page in the BCE website, and this was posted earlier this morning. Now before we begin, I would like to draw your attention to our safe harbor statement on Slide 2, reminding you that today's slide presentation and remarks made during the call will include forward-looking information, and therefore, are subject to risks and uncertainties. Results could differ materially. We disclaim any obligation to update forward-looking statements, except as required by law. Please refer to our publicly filed documents for more details on assumptions and risks. Now with that out of the way, I'll turn the call over to Mirko.
Mirko Bibic: Thank you, Kris, and good morning, everyone. Last month, at our Investor Day, we unveiled an ambitious and exciting 3-year strategic plan, which positions Bell for the future. This includes clear and transparent financial targets to drive long-term shareholder value and a refreshed brand that better reflects the full breadth of our customer segments. We also took the opportunity to introduce our investors to several members of the executive team and conducted deep dives into each of our operating businesses. As we execute against this plan, we're leveraging our proven ability to drive efficiencies in order to generate strong, sustainable free cash flow growth and total shareholder return, and that's supported by a disciplined capital allocation strategy. Earlier this year, I shared our intent to focus on 4 strategic priorities, all underpinned by our unique and highly differentiated assets in fiber, in wireless, in media and enterprise. And in Q3, we continue to execute diligently against all 4 of those strategic priorities, and you can see this in our results. I'll start first with the customer. We have a reenergized focus on customer service, and it's really paying off. Thanks to the investments we've made, we reported a second straight quarter of significant postpaid churn reduction, and this is the direct result of customer service improvements, increased product intensity and effective real-time retention offers. A few weeks ago, we launched new wireless plan tiers, each offering distinct value propositions. This innovative approach moves beyond traditional data bucket sizes, introducing differentiation based on network speeds and video quality, roaming and long-distance features, varying levels of device discounts and content offerings. The response from our customers has been very positive. This construct gives customers more choice and it reduces churn, all while leveraging our owner economics and content. Our premium Bell branded postpaid wireless loadings are significantly higher than our consolidated reported postpaid net adds with Bell brand postpaid year-over-year growth exceeding 100%. This is a clear indicator of strong customer demand and the strength of the Bell brand in the market and it's completely on strategy. We're also continuing to make meaningful progress on transforming the customer experience with initiatives like the AI-powered virtual assistant that we showcased on October 14. This as well as other AI-driven applications serves as a technological foundation for a next-gen customer experience. I'll move now to delivering the best fiber and wireless networks. As you know, for well over 100 years, Bell has built and operated the best networks in the country. And now, we also have one of the best network growth engines in the U.S. with Ziply Fiber. This was our first quarter of operating this asset and its results are reported in our new Bell CTS U.S. segment. We're very pleased that Ziply Fiber's financial results continue to exceed our original investment case. Again, as you saw on October 14, Harold and his team are engaged and excited by the tremendous opportunity ahead. With the formation of the Network FiberCo partnership now complete, Ziply is well positioned to accelerate its fiber build and expand beyond its current 4-state footprint. Construction is set to ramp through 2026. Currently, Ziply's Fiber network passes 1.4 million homes in the U.S., and we expect to reach approximately 3 million locations by the end of '28. Over time, we intend to leverage the Network FiberCo partnership to expand our U.S. fiber footprint to 8 million locations, and we'll do that in a cost-efficient manner. Including our U.S. operations, we added 65,000 net new fiber subscribers this quarter. In Canada, fiber continues to be a key driver of multiproduct penetration through mobility and Internet and content cross-sell opportunities. We're focused on increasing the number of subscription services per household with content bundling playing a central role in that strategy. In Q3, product intensity was up approximately 7% year-over-year, fueled by growth in content subscriptions. And as we shared at Investor Day, we plan to increase product intensity in the next 3 years by approximately 25%. So we're off to a good start. Our fiber advantage will grow with the availability of Wi-Fi 7 and Wi-Fi 7 works best on fiber. And again, it's going to improve the product intensity momentum. Turning to wireless. The environment has stabilized, and we expect this trend to continue. Wireless service revenue and ARPU both declined by less than 0.5 percentage point while postpaid churn improved by 15 basis points. We also recently announced a partnership with AST SpaceMobile to deliver direct-to-cell satellite service. This breakthrough technology will expand our network reach, bridging the gap between the terrestrial 4G and 5G networks in Canada's most geographically challenging areas using powerful and reliable low-band spectrum. And note, initial launch of our service is scheduled for late 2026. The service will include voice, video, text and broadband data capabilities using base stations owned and operated by Bell within Canadian borders, and it will be accessible with an ordinary smartphone. The partnership with AST will enhance network reliability, resiliency and security for all those choosing Bell. Turning now to enterprise and leading with AI-powered solutions. We all know that the Canadian economy is changing, our industry is changing and technology is advancing at an unprecedented pace. The AI revolution is in full swing, and it has the potential to change how we work, how we live and how we connect. At the same time, global instability is rising and Canada and other countries are reassessing long-standing relationships that, in some cases, seem far less solid than they once were. Against this backdrop, as we've been sharing, we've reshaped our strategy, and we're well positioned for growth in this new environment. In just the past year, we've launched the 3 game-changing AI-powered solutions businesses, and they're all foundational to our long-term growth strategy. And that's Ateko, Bell Cyber and Bell AI Fabric. Each of these businesses is expected to deliver significant top line and bottom line growth as we execute against our 3-year strategic plan. I'm pleased to report that revenue from AI-powered solutions grew 34% year-over-year. Most of that's organic growth, and it's a strong validation of our strategy. Canada is having its AI moment, and it will be distinctly sovereign. According to a recent survey by the Harris Poll commissioned by Bell, 75% of large Canadian businesses consider AI to be a strategic enterprise-wide priority with 91% of them prioritizing data sovereignty. This is where Bell holds a clear advantage. Bell's AI Fabric is precisely engineered to meet these exact needs. Our purpose-built AI data center business and the full stack AI alliance we've assembled with other Canadian tech leaders continues to have a deep pipeline of interest, and we expect to announce more growth in this space in the coming months. The public and private sectors share a fundamental role in building Canada's sovereign AI ecosystem and the renewed commitment to AI that we saw this week in Budget 2025 is an important step forward that will support adoption, strengthen the economy and help Canada compete globally. I'll turn now to the fourth strategic priority, which is building a digital media and content powerhouse. We recently introduced our new streaming bundles for Bell Mobility and Internet customers, and that features Crave, Netflix and Disney+ together all in one bundle. Our commitment to sports content also remains strong. We announced long-term broadcast and streaming rights extensions for regional coverage of both the Montreal Canadiens and the Winnipeg Jets, and that reinforces our leadership in Canadian sports media. We're also continuing to ramp our digital media capabilities. Our long-term partnership with iHeartMedia was expanded this quarter to include Canadian representation of iHeartRadio's extensive podcast portfolio, significantly enhancing our digital audio offering. Additionally, we entered into a strategic ad distribution partnership with Tubi, one of the largest and fastest-growing free streaming platforms in Canada. All in, these initiatives will create new opportunities for digital advertisers to reach Canadian audiences across Bell Media's audio and video platforms. So in short, we're executing with discipline, and we have momentum across all 4 of our strategic priorities. This focused path will continue, positioning us to deliver long-term sustainable free cash flow growth and enhanced shareholder value. As shown at our Investor Day, we have a highly coordinated and energized company that's fully aligned and ready to continue to execute. With that, I'll now turn it over to you, Curtis, for a review of our Q3 financial results.
Curtis Millen: Thank you, Mirko, and good morning, everyone. I'll begin on Slide 7 with BCE's consolidated financial results. Total revenue was up 1.3%, driven by the acquisition of Ziply Fiber completed on August 1. Ziply Fiber's operating results are reflected in our new Bell CTS U.S. segment, while our Canadian wireless and wireline operations are reported under Bell CTS Canada. Overall top line growth was moderated by retroactive revenue adjustments at Bell Media related to contract renewals with certain Canadian TV distributors in Q3 of '24. Adjusted EBITDA increased by 1.5%, also reflecting the contribution from Ziply Fiber. This led to a 10 basis point margin increase to 45.7%, our strongest result in more than 30 years. Excluding the contribution from Ziply Fiber and normalizing for the aforementioned retro benefit of Bell Media last year, overall BCE's EBITDA grew by 0.4%. Net earnings and statutory EPS were up significantly over last year. This was largely due to the $5.2 billion gain from the sale of our minority stake in MLSE on July 1 and lower asset impairment charges compared to Q3 of last year. These noncash charges were related to Bell Media's legacy properties to reflect the ongoing digital transition of the advertising ecosystem. Adjusted EPS was up 5.3%, supported by higher EBITDA. CapEx was down $63 million this quarter, bringing year-to-date CapEx savings to $551 million. We anticipate a year-over-year step-up in overall spending in Q4 as Ziply Fiber executes its fiber build-out, consistent with our 2025 capital intensity guidance of approximately 15%. The combination of lower CapEx, higher cash from working capital, lower severance payments and the flow-through of higher EBITDA drove $171 million increase in Q3 free cash flow. Turning to Bell CTS Canada on Slide 8. Internet revenue was up 2%, solid results showing we're striking a healthy balance between sub growth and disciplined pricing supported by fiber. Our business markets continues to build momentum with strong demand for our unique and differentiated suite of services. We saw sustained strength in AI-powered solutions, where revenue increased 34% year-over-year, driven by rapid growth at Ateko and Bell Cyber. We're excited about the opportunities ahead and remain on track to generate approximately $700 million in AI-powered solutions revenue in 2025. Wireless service revenue declined modestly by 0.4%, in line with the 0.3% decrease in Q2. When normalizing our Q2 results for the nonrecurring revenue benefit related to G7 Summit, Q3 service revenue performance showed notable improvement compared to last quarter. Wireless product revenue was up $41 million this quarter. This year-over-year increase was driven by greater sales of mobile devices. Our EBITDA result was in line with plan with a notable 10 basis point margin increase over last year to 46.8%. This reflects our continued focus on cost management as evidenced by a 0.6% reduction in operating costs this quarter. Turning to our new Bell CTS U.S. segment, which reflects Ziply Fiber's operations for the 2-month period following the acquisition on August 1. As a reminder to investors, Bell CTS U.S. financial results are reported under IFRS accounting standards, consistent with Bell's other operating segments. We're pleased to report a strong start, financial results tracking ahead of the expectations we set at the time of announcement. Total revenue reached $160 million, driven by the strength of Ziply's Fiber-to-the-prem platform. Internet revenue grew 15% year-over-year, supported by continued expansion of Ziply Fiber footprint and strong customer penetration. Bell CTS U.S. delivered $71 million in EBITDA for the period, representing a robust 44.4% margin. This performance reflects both higher operating revenue and the benefits of Ziply Fiber's efficient cost structure and customer-centric operating model. The impact of Ziply's customer-focused model is evident in higher NPS scores and cost efficiencies. While the customer base continues to grow, customer contact rates are declining, now among the lowest in the U.S. market. Looking ahead, with continued operational discipline and a significant growth runway, we expect strong EBITDA growth for Bell CTS U.S. over the coming years, in line with the 3-year plan presented at our Investor Day. On the subscriber front, Ziply added 9,000 net new fiber customers in August and September, underscoring the strong momentum in expanding Ziply's Fiber customer base. Notably, fiber now represents 87% of total retail Internet subscribers. Total retail Internet net adds totaled nearly 5,000 subs, which reflects competitive losses in copper areas. Over to Bell Media on Slide 10. As projected, total revenue was down in Q3, decreasing to 6.4% year-over-year. Excluding the onetime retroactive sub fee adjustment in Q3 of last year, the decline was closer to 1%. Despite strong digital ad growth, both in video and out-of-home, total advertising revenue was down 11.5%, reflecting continued softness in traditional advertising demand for non-sports programming as well as the impact of the previously announced divestiture of 45 radio stations. While Crave and sports direct-to-consumer streaming continued to grow, subscriber revenue declined by 5.2%, primarily due to the aforementioned retroactive revenue adjustments we lapped from last year. These adjustments were also a major contributor to the 6.7% decline in Bell Media's EBITDA this quarter. Excluding this onetime item, Q3 EBITDA was up 11.3% year-over-year. We're also pleased that OpEx was down 6.3%, shows you the focus we have on business transformation. Looking ahead, despite near-term headwinds on linear advertising demand, we remain confident that Bell Media will deliver positive revenue and EBITDA growth for the full year. Our focus remains unchanged for Bell Media to consistently deliver annual revenue and EBITDA growth while contributing meaningful free cash flow to BCE. Turning to Slide 11. Our balance sheet is very healthy with $3.6 billion of available liquidity and a sizable pension solvency surplus totaling $4.5 billion. Our net debt leverage ratio at the end of Q3 was approximately 3.8x adjusted EBITDA. This reflects the acquisition of Ziply Fiber, which closed on August 1 and was funded using the $4.2 billion in net proceeds from the MLSE sale received in early July, along with cash on hand. In late August, Ziply Fiber's outstanding debt of $2.7 billion was redeemed, partially funded by the $2 billion public debt issuance we completed earlier in the month. I'd also highlight that BCE's nominal net debt at the end of Q3 was $40 billion, which despite the Ziply Fiber acquisition is lower than the $40.3 billion reported at the end of 2024. Looking ahead, we remain sharply focused on reducing our leverage ratio to 3.5x by the end of '27 with a clear path towards 3.0 by 2030. We expect to reach these milestones through a combination of organic EBITDA growth, free cash flow generation and near-term monetization of noncore assets. To conclude on Slide 12, we remain sharply focused on our 4 strategic priorities to drive growth across our key business units alongside our company-wide transformation to enhance efficiency. With the year-to-date consolidated financial results tracking in line with plan, operating momentum across the business and our consistent proven execution in a competitive marketplace, I'm reconfirming all of our financial guidance targets for 2025. I will now turn the call back over to Kris and the operator to begin Q&A.
Krishna Somers: Thanks, Curtis. [Operator Instructions] With that, we're ready to take our first question.
Operator: [Operator Instructions] The first question is from Vince Valentini from TD Bank.
Vince Valentini: Can you help us unpack the federal budget a bit? It's still not clear to me these tax breaks for accelerated depreciation could some of that apply to the money you spend on typical CapEx also on the data center front, the dollar commitments from the government, do you take that as they would co-invest in facilities with you, which eases your investment burden or that they actually would be a big customer and spend more on their own needs and do that only with sovereign providers like Bell. Those would be the 2 main things out of the budget. If you have any comment on the tower siting and sharing fiber builds stuff too, if you think there's any relevance there. Anything you can tell us would be helpful.
Mirko Bibic: Yes. I think as a general comment, Vince, I'd say that at a macro level, the budget is certainly positive in terms of having a number of initiatives industry-wide, I don't mean the telecom industry only, but just generally speaking, spurring more investment in the Canadian economy is a decidedly good thing. And I think there's a lot of pro-competitive pro-investment initiatives in the budget that should be looked upon favorably. On the capital allowance initiatives, Curtis, I'm sure will add to what I have to say, but those are always looked upon favorably because I do think they're a direct mechanism to continue to encourage companies to invest. On the AI side of things, still a lot to unpack there, Vince. So I can't answer your questions specifically just yet until we do more unpacking. But I would say that the initiatives that are outlined in the budget, the upwards of $900 million for sovereign AI and sovereign cloud shows that this government is committed to seizing the AI moment and encouraging AI adoption. And this is where we're at. We're at the moment in time where we need to move from AI science to industrialization at scale across the Canadian economy using Canadian tech leaders. I think that's the signal you should draw from the budget. So in that regard, it's a good thing. AI infrastructure in Canada by Canadians for Canadians. And I think we'll be able to capitalize on that in general terms because that's a measure to increase adoption. in a sovereign way. So view that as a directional positive for Bell AI Fabric. And with the sovereign AI alliance that we've put together with Bell AI Fabric and Coveo and Cohere and ThinkOn and a number of other Canadian tech leaders, we're in good shape there, and you're going to see some growth at Bell AI Fabric in the quarters to come. I'll turn it over to Curtis to unpack some of that for you.
Curtis Millen: Vince. Just on the tax side of it, as Mirko said, it's certainly helpful. I think over the medium term, it's ultimately accelerating a tax shield. And a similar proposal to what was instituted in 2018, we will see a benefit of that over time. I wouldn't expect a benefit in '25 or '26 based on the wording where it qualifies once the budget is actually enacted and given timing of spend. But '27, '28, we would expect a benefit.
Vince Valentini: I guess you can't quantify that, Curtis, even in ballpark terms?
Curtis Millen: No, not yet. We've got to work through that, but we'll get back to you with more details when we have them.
Operator: Our next question is from Drew McReynolds from RBC.
Drew McReynolds: Just on the, I guess, Internet competitive landscape. Obviously, a lot of focus continues to be on the TPIA regime. So just Mirko or Curtis, can you just provide an update on how you think the competitive environment is evolving here in Eastern Canada? And maybe an update on whether you've started out West with some of your initiatives you've highlighted at your Investor Day. And then just a quick second one on Northwest Hill. Is there an update just in terms of potential timing of getting that deal across the line?
Mirko Bibic: Thanks, Drew. I'll take those. So on -- let's start first with Internet out in the East. I'll emphasize or reinforce what we shared on October 14. So our specific plans, really our approach is going to be twofold. But in the East, number one, it's protect Bell's retail position, and we're going to execute on the integrated strategy that we outlined on October 14, and I summarized today. And ultimately, our view is that fiber resellers will, on balance, take more share from cable. And so we'll be able to continue to improve our position on the retail side, on the Bell brand, while at the same time, driving higher fiber network penetration in the East. And it's typically what happens. And in the West -- so number two, in the West, our focus is going to be, again, as I said on October 14 or as Blaik said, I think we're going to protect our mobility base first and foremost and by offering more services in a disciplined way. So it's leaning in on the wireless tiers, using our distribution strength out West, then layering in no set-top box 5 TV or streaming content bundles or both to grow wireless sales out West and lower churn. And when it's necessary, especially for our highest value customers, we plan to resell fiber Internet. So all in, we'll be more competitive in the West. We have a trial right now, Drew, in Kelowna, and we expect to have a full launch of fiber resell out West in January. But we're going to do all this in a very disciplined way. I think that's an important point to call out. On Northwest Hill, the purchasers are still working with the federal government to secure funding. And so we remain actively engaged to close that transaction. It looks like it will more likely be in 2026. But I think given the amount of time this has taken, it's worth saying the following, very important. We want to close the deal for sure. But we're also happy to operate Northwest Hill and to serve residents in the North. It's a good, healthy, strong asset. And look, close or not close, it has a minimal impact on deleveraging. So we weren't disposing of -- trying to dispose of Northwest Hill because of deleveraging. It was for altogether different reasons. Happy to close, but that's what we're still working on doing. That's priority #1.
Operator: Our next question is from Jerome Dubreuil from Desjardins Securities.
Jerome Dubreuil: First one, a very helpful Investor Day a couple of weeks ago. One of the comments we've been receiving is some investors were expecting to see some margin growth down the road. We don't necessarily have a problem with that given the mix shift. I don't know if you can share, but do you expect margin growth on the Canadian telecom business between 2026 and 2028?
Curtis Millen: Yes. Jerome, it's Curtis. So yes, at Investor Day, we did talk about '25 to '28 revenue, 2% to 4% growth, EBITDA 2% to 3% growth. So at the high end of revenue, are you looking at margin compression? But ultimately here, what we also announced at Investor Day was our continued focus on operating cost reduction. So $1.5 billion of cost savings and frankly, more thereafter as we continue to leverage technology and our internal digital transformation. So I think you're going to continue to see a focus on cost containment. As you mentioned, I know your question was Canada specific. Ziply, as we accelerate our footprint with the PSP partnership, those margins will decline over time, but still at a very 44.4% margin starting point for Ziply. So pretty healthy margins all around. Ultimately, in the range of flat margins is more what I would say.
Jerome Dubreuil: Okay. And on the AI Fabric, I would like to maybe dive a bit more into the timing of the impact on your results. So maybe if you can reiterate the level of investment there, the expected financials and returns and the timing of flow-through in earnings.
Mirko Bibic: Yes. So we have -- I'll start and then Curtis maybe add what's appropriate. We gave -- we were pretty transparent as to what the growth targets are that we expect on October 14. And what those are based on from an AI Fabric perspective is monetizing 73 megawatts of power. And so the ambition is greater than that. But just -- I would say that it's more of a conservative growth projection that we gave at Investor Day since it's only about monetizing 73 megawatts, and that's expected to drive $100 million to $150 million of annual EBITDA. So a very solid business, a very strong pipeline of demand. And as I said in my opening remarks, expect to see some announcements in the coming weeks and months that just shows how we're activating the sovereign AI alliance that we've put together. So very, very positive there. And again, I will reiterate, we said it a couple of times, but it is worth mentioning. So we have 34% year-over-year revenue growth in Q3 in the AI-powered solutions business. The vast majority of that growth is organic, and all of it is Ateko and Bell Cyber. And in Q3, none of it is Bell AI Fabric. You saw the benefits of AI Fabric in Q2. There were no new announcements in Q3, and AI Fabric will see some growth, as I said, in the coming weeks and months. So we're really excited about that growth vector.
Operator: Our next question is from Maher Yaghi from Scotiabank.
Maher Yaghi: So Mirko, I speak with a few U.S. domiciled data centers with subsidiaries in Canada. And I mean, the view is that whatever they're offering in Canada is sovereign. The reason I'm saying this is, do you think the government is going to formalize what is considered to be sovereign AI to make it very clear to enterprise in Canada, what constitutes sovereign AI and what does not constitute sovereign AI because it's kind of like what she said, he said type of thing right now in the marketplace.
Mirko Bibic: Yes. So thanks for that, Maher. So I'll answer it in two parts. So there needs to be a very clear understanding and definition of what sovereignty means. And sovereignty isn't just about having a data center located in Canada. That doesn't -- that's not sovereignty. Sovereignty is a multifaceted thing. It's who has -- where the data is located, how data moves, who has control over the data, who has control over the action, which is the compute and who has control over the governance, which is who can access everything and who has access to the keys to the technology. So it's action, movement, storage, governance. So that's one part. The second part is I'd encourage everyone to just take a look at some of the -- and there are a number of them, but some of the federal government ITQs and RFIs that are out there. And you'll see some pretty hard notions of what sovereignty means in some of those technology ITQs and RFIs. So you really do need to be sovereign Canadian all the way through in order to qualify for some of the requirements that the federal government has. And in the case of Bell AI Fabric, what we can guarantee to our customers is their data will stay in Canada. And if the data needs to move, whether or not it's from St. John's to Vancouver points in between, it always stays in Canada. We have a definitive advantage in that regard.
Maher Yaghi: I hear you. And the reason I'm asking this question is I have looked at the RFIs that the government has put out, and they have their definition. But how can that permeate into the enterprise market? Because I mean, I agree that getting a contract from the government is going to be easy probably -- their definition of what constitutes sovereign AI is probably the highest level of conservatism, let's say. But what about the general enterprise, the Canadian enterprise market where so far, it seems like it's still -- it's true. It's not clear what constitutes sovereign AI. So do we need like some form of formal definition by a government agency to kickstart this new era of sovereign AI in Canada? Or do you think it might -- it will happen without some formal regulation?
Mirko Bibic: I think it will happen without formal regulation. Just the market will speak Maher. And the enterprise market in this space will be like it is in all the other enterprise vectors we operate in. I think our customers are going to rely on the providers that they trust, that they have deep relationships with. And I think there's going to be a preference for Canadian. And that's with or without kind of the geopolitical concerns that permeate today. I think the geopolitical concerns just actually further help market demand being tilted towards Canadian providers. So if you take a step back, in the case of -- in our case, we have the deepest enterprise relationships. We have the most long-standing enterprise relationships. We are speaking to our enterprise customers on AI-powered solutions, growth vectors at the same time as we're talking to them about the core business relationships that we've had for a long time. So as they seek to lean into AI workloads, we're in good shape in terms of having the infrastructure ready now. And a key advantage in AI is time to power and time to compute, and we can deliver that. We can deliver data centers that are connected to the very best networks, all located in Canada from a company they trust and has provided reliable service to them for, in some cases, for over 100 years. So on the enterprise side, I think at this point in time, we're just going to rely on our unique market advantages.
Maher Yaghi: Okay. And maybe just my follow-up question on wireless. You mentioned something interesting in your prepared remarks related to the amount of postpaid subscribers you loaded on the Bell brand. So I'm happy to see how you guys are pivoting your offering, making less emphasis on data buckets and more on quality and content and value-add services in wireless. Can you maybe just dig a little bit deeper into what happened in Q3 as you made that pivot? Because when you look at the numbers from a big picture point of view, we see a lot more prepaid and postpaid loading this quarter versus last year. And so I'm trying just to make sure to understand what you meant by in your prepared remarks.
Mirko Bibic: Yes. Okay. No, thank you for the question, Maher. So our focus -- so first principle is that our focus remains on the financials. And what we're trying to do is balance subscriber loadings and the economics of those loadings. And I think you can see it in the financial results, whether or not it's service revenue and ARPU and obviously, the massive churn improvement. Overall, you can see it also in our product intensity gains. And there's a whole long list of factors that have improved significantly. But on the postpaid wireless numbers, the consolidated number you see there, if you unpack those numbers, the Bell brand postpaid net adds are -- I don't want to give the number, but they're very, very large. And so what that means is it's the flanker brand net adds that have declined so that you end up with the consolidated number in front of you of 12,000. But the Bell brand postpaid is a very big number. And so it's on strategy. The strategy is focus on the financials, focus on the Bell brand, focus on multiproduct offerings. And then underneath that, there's the new wireless tier plans, which I think are going to drive good subscriber numbers in the quarters ahead and certainly strong churn and financial numbers.
Operator: Our next question is from Stephanie Price from CIBC World Markets.
Stephanie Price: Hoping you can give us a bit of further color on the U.S. Internet environment now that you've had a full quarter of Ziply. Are there any changes to your thoughts on the pace of the U.S. fiber rollout here?
Mirko Bibic: No, it's -- everything is on track, as Harold outlined in detail on October 14. So we're very pleased with Ziply's performance. And we're looking forward to continued growth. I mean the key thing is that it continues to perform ahead of our investment case. And the key thing is as we ramp the build in 2026, that's just going to lead to better subscriber revenue and EBITDA growth.
Stephanie Price: Okay. And then a follow-up for Curtis. Just on free cash flow growth. It was very solid in the quarter and year-to-date, but full year guidance is obviously maintained. Hoping you can talk about the puts and takes here as to get you to the bottom and the top of the full year range for free cash flow.
Curtis Millen: Yes. Stephanie, thanks for the question. So Q3 specifically was strong. There are some timing impacts, I'd just say off the top, still confident in the 6% to 11% full year. CapEx, we still expect it to be in the 15% [indiscernible] for the full year. So it was a little bit lighter in Q3. Those are timing items. So we do expect Q4 to be heavier CapEx spend, which is probably what you're picking up on. So really nothing but reiteration of our full year expectations and timing in terms of CapEx and a few working cap items.
Operator: Our next question is from Sebastiano Petti from JPMorgan.
Sebastiano Petti: I guess just maybe following up a little bit on Jerome's question regarding the cost savings. I guess, can you update us where we're at in the $1.5 billion? Yes, I think at the Analyst Day, you talked about being halfway there. Help us maybe with the shaping of that? And maybe just remind us, Curtis, is that $1.5 billion a run rate exiting 2028? So just some color on the shaping there would be helpful. And relatedly, as we think about the CAGRs on EBITDA, particularly understanding maybe there might be some margin compression as Ziply and PSP kind of ramp up over time. But maybe help us think about the shaping of the consolidated EBITDA growth, I guess, over the forecast period. I mean, does it make sense that 2026 growth is maybe above trend as we kind of think about the guided range?
Curtis Millen: Thanks, Sebastiano. A few things to unpack there. In terms of margins to tie up to Jerome's earlier question and how that flows through. So I think cost savings, you're right, we're halfway through. That will continue to accelerate. So that lumpy with initiatives, but continues to increase year-over-year over year-over-year as we continue to leverage digital transformation and efficiency initiatives. So I think you see relatively flat EBITDA margins over time. And our focus on reducing costs and driving efficiencies allows us to absorb some of the strong subscriber growth in the U.S., which includes COA, and it allows us to fund our other growth businesses like AI-powered solutions. So -- and again, those investments in the newer business, not only CapEx, it's OpEx also. So flat margins on a percent basis, increasing margins on a dollar basis as we continue to transform the financial profile to more be heavily weighted towards future-focused products and services while maintaining the same similar in-line EBITDA percent margin. And then in terms of the U.S., again, 44% margin we've talked about between 40% and 45% in the U.S. So again, I think you'll see offset of efficiencies and scaling benefits in the U.S. with incremental costs and expense to drive subscriber growth as well as leveraging the PSP network code which comes with a couple of incremental costs. But ultimately, looking to drive EBITDA margin dollars while we focus on cost containment and efficiencies, but overall driving EBITDA dollars out of the U.S.
Operator: Our next question is from Tim Casey from BMO Capital Markets.
Tim Casey: Mirko, when you think about the growth in AI-powered solutions, doubling the $750 million by '28, will it be a balanced contribution between Ateko, Cyber and AI Fabric? Or is one of those more likely to be an outsized contributor? And as a follow-on, at AI Fabric, do you not have to onboard the additional data centers, and I think it takes 9 months to build one. So is there a cadence to that, that would be more back half or loaded more towards the back half of that time frame as you onboard these data centers? Or am I thinking about that incorrectly?
Mirko Bibic: Okay. Thanks, Tim. So I think on the unpacking the $1.5 billion as between the 3 components. I just -- if you go back to John Watson's Investor Day deck, you'll see we're expecting around $400 million from Cyber, around $700 million from Ateko and around $400 million from AI Fabric, and that would be your breakdown of the $1.5 billion. And then in his slide deck, he has the annual growth rates that he's expecting for each of those 3 components of AI-powered solutions. And in terms of AI Fabric and the time to build data centers and the like, I think I'll keep it a little bit more general. You should expect -- I think we're expecting kind of a couple, 2, 3, let's say, launches in 2026. So it's not like we're going to be signing contracts in the first half of '26 and then you'll only get to see revenue in 2027. That will happen, but you will see some activity based on the pipeline we have in 2026 and our ability to open a few of those data centers next year.
Operator: Our next question is from Aravinda Galappatthige from Canaccord Genuity.
Aravinda Galappatthige: I just wanted to go back to the free cash flow question, Curtis. Obviously, you benefited a little bit from working capital movements. I think that's what you're referring to in terms of timing. So should we expect the sort of a more unusual or higher-than-usual working capital outflow in Q4? And then I guess the larger question is, when I look at the '25 to '28 free cash flow projections you provided, it suggests that you still anticipate fairly meaningful working capital outflows right through that period. And I just wanted to understand a little bit more why that it needs to be consistently fairly high. Maybe I'll just start there.
Curtis Millen: Yes. Thanks for the question, Aravinda. So obviously, puts and takes within the free cash flow buckets I can't control all of the timing on individual payments. I'd say we are continuing our focus on working capital management. So we've seen benefits in inventory. We're managing receivables and especially. So I do think we're seeing goodness there. But again, that fluctuates quarter-to-quarter. I'd just say overall free cash flow, confident in our full year 2025 guidance. So no real change there. CapEx is a bigger driver of kind of quarter-over-quarter, and we do expect Q4 to be seasonally high relative to Q1 to Q2 and Q3 and north of what Q4 was last year. So that's this year. And then ultimately, as we talked about free cash flow, '25 to '28, there are a few things happening. One, CapEx dollars flat, but lease repayments will come down. So kind of as I think of the capital investments over time combined between what is accounted for as CapEx versus leases, that total bucket comes down over time. I do think -- so the decrease in that combined bucket leads to payable decreases over time as well. So you don't capture all the free cash flow benefit in the same period where your CapEx comes down. But over that period, we will capture the benefit. And beyond that, ultimately, you're just normalizing your way through, right? By the time you're at 2028, there's no buildup or onetime. You're just a run rate free cash flow generating business.
Aravinda Galappatthige: Understood. And just my quick follow-up on the comments you made on the enterprise side, Mirko. As you kind of push ahead, talk to the CIOs with -- pushing ahead with Ateko and Cyber, what kind of competition are you coming up against? Is it sort of the more fragmented independent players? Or is it sort of the larger established players? Do you -- to what extent do you have sort of unseat some of these existing incumbents in that area to sort of win over the sort of the IT services and cybersecurity mandates there?
Mirko Bibic: Yes. Thank you for the question, Aravinda. So I'd say when it comes to the collection of the overall offering that we have in AI-powered solutions business, the full stack AI, the AI platform, the integration of AI automation platforms through Ateko and Bell Cyber, when you put all that together, frankly, we're 1 of 1. And I'm not exaggerating. We are -- when you look at all 3 together, we are 1 of 1. If you want to kind of look at each one discretely, there are others who provide cybersecurity solutions, but nobody who can kind of provide the integration of the Bell network security platform with the automated cloud-based AI-powered SOC that the former strategy and now the combined business is called Bell Cyber offers. And on Ateko, there are a number of systems integrators out there. We all know their names. But what stands Ateko apart are many things, but two in particular that I would call out. One is we are very focused. And I've talked about this before. We have a clear lane of verticals where we're targeting. And we are hyper focused on AI and the hyperscale platforms, whether or not it's ServiceNow, Salesforce or the 3 hyperscalers. So we provide the benefit of a really focused expertise. And then the other thing that stands Ateko apart from anyone else is we are both an operator and an integrator. So Ateko does for our third-party customers, what it does for Bell. So we can offer the real experience of having done it for an operator. So we know the use cases that work, where you're wasting your time as a customer. And I think that's a value add that the classic SIs don't provide. So I'll leave it there. But you see it in the growth numbers. I mean we only started this in 2023 with Ateko. And since then, even this year, like we rebranded Ateko, we launched Bell Cyber, and we've launched on May 29 of this year, AI Fabric, and it's pretty strong growth in its own right.
Operator: Our next question is from Batya Levi from UBS.
Batya Levi: Question on the wireless side. Looking at your postpaid wireless base, is it possible to get a rough mix of what the Bell branded subs make? And as that mix grows, I think can we expect wireless ARPU returning back to growth? And I believe the new MVNO also contributed in the quarter. Is it possible to quantify that?
Mirko Bibic: Yes. So the MVNO -- the network revenue from a wholesale relationship on wireless is frankly immaterial. It's not a big number. So it wasn't a big component of kind of call it, the ARPU stability, if you want, because there's a slight decline there. On the Bell brand postpaid loadings, let's leave it at this. Like there's -- the postpaid loadings consolidated are 11,500, close to 12,000. The Bell brand postpaid net adds were multiples of that, but I'm not going to unpack the actual shaping of Bell versus Virgin in that mix. And the prepaid loadings are quite strong. You see them there, and that's all Lucky Mobile given that at this point in time, we only offer prepaid on Lucky Mobile. Did I miss a question? I'm sorry?
Curtis Millen: I think there's a -- just on ARPU. So I think overall, we're pleased with the trajectory we're seeing on ARPU as wireless pricing is firming up. So both postpaid and blended ARPU are up versus Q2 on a reported basis. And I think it's also important, so new and monthly rates are higher than the embedded base rates. So new loads are actually helping blended ARPU, which is a trend for the positive.
Operator: Our next question is from Lauren Bonham from Barclays.
Lauren Bonham: You mentioned that you plan for the AST satellite service to launch in late 2026. Could you talk more about how that service will be marketed and included in the mobile plans or what sort of price points you're targeting as well as how you're thinking about size of the potential market there?
Mirko Bibic: Thanks, Lauren. Look, the question is very on point. So it's a little bit too early to be able to give you information on that given that we plan to launch in late 2026. So we'll come back to that at the appropriate time. But I get the question. It's a really important one. It's just a bit too early. So with that, I think as we're running out of time, what I would -- I -- thank you, everyone, for the time you've given us this morning. I'd say this, again, I go back to -- it's going to be a constant theme in our interactions and in our results. We're going to always anchor back to what we said we were going to deliver for investors between now and 2028. But we're on the right track here, and the stage is set for executing against '26, '27 and '28. We've improved -- the fiber net adds are growing in Canada and the U.S. We've improved fiber Internet churn. We've improved product intensity. You see some stability in ARPU. And as Curtis just answered in response to Batya's question, we're seeing that headed to flat and positive as we head into next year. The Bell brand postpaid loadings are very strong. Ziply is better the investment case. We didn't answer any questions on media this morning, but you can see our Crave growth is impressive. The digital revenue is progressing exactly as we said, and the AI-powered solutions business is delivering better than we expected. And we only just got started, and we're on our way to the $1.5 billion that we projected in 2028. So all the key parameters of growth are there and are delivering, and that's what we're going to continue to do. It's an exciting time here as we've reset Bell and the team across the board is energized. And thank you.
Curtis Millen: Thanks, everyone.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.